Operator: Good morning. My name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the Wells Fargo Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Jim Rowe, Director of Investor Relations. Mr. Rowe, you may begin your conference.
Jim Rowe: Thank you, Regina and good morning, everyone. Thank you for joining our call today where our Chairman and CEO, John Stumpf; and our CFO, John Shrewsberry will discuss fourth quarter results and answer your questions. Before we get started, I would like to remind you that our fourth quarter earnings release and quarterly supplement are available on our website at wellsfargo.com. I’d also like to caution you that we may make forward-looking statements during today’s call that are subject to risks and uncertainties. Factors that may cause actual results to differ materially from expectations are detailed in our SEC filings including the Form 8-K filed today containing our earnings release and quarterly supplement. Information about any non-GAAP financial measures referenced, including a reconciliation of those measures to GAAP measures can also be found in our SEC filings, in the earnings release and in the quarterly supplement available on our website. I will now turn our call over to our Chairman and CEO, John Stumpf.
John Stumpf: Thank you, Jim. Good morning and Happy New Year to everyone. Thank you for joining us today. We just completed another outstanding year at Wells Fargo. We generated record earnings, produced strong deposit and loan growth, grew the number of customers we serve, improved credit quality, enhanced our strong risk management practices, strengthened our capital and liquidity levels and rewarded our shareholders by increasing our dividend and buying back more shares. Our achievements during 2014 demonstrated the benefit of our diversified business model and our continued focus on the real economy. Let me share just some of our accomplishments during the past year. We generated earnings of $23 billion and earnings per share of $4.10, both up 5% from the prior year. We grew both revenue and pretax, pre-provision profit. We had strong broad-based loan growth. Our core loan portfolio increased by $60 billion or 8%. Our deposit franchise continue to generate strong consumer and balanced growth with total deposit up $89 billion or 8% and we grew the number of primary consumer checking customers by 5.2%. Our credit performance continue to be very strong with net charge-off down $1.6 billion and our net charge-off ratio declining to just 35 basis points for the year. Our capital levels increased even as we returned more capital to shareholders. We returned $12.5 billion to our stockholders through dividends and net share repurchases, up 74% from a year ago. While we serve our customers throughout the world, 97% of our revenue comes from the United States and there had been many signs of strength in the U.S. economy. GDP growth accelerated during 2014 and may be even stronger in 2015. Last year was the strongest year of job growth in 15 years and December was the 50th consecutive month of job creation, unprecedented in U.S. history. Consumer confidence is at its highest level since the peak of the last economic expansion. Home ownership remains an aspiration for most Americans and recent development such as the announced reduction in FHA premiums, GSE clarification on repurchase rules and changes in GSE lending guidelines should provide some benefit to the housing market where affordability remains attractive. While lower oil prices have created volatility in the financial markets, America as a whole is a net consumer of energy and American households will benefit from the decline in energy prices, which is positive for the U.S. economy. I believe the improvement in the economy, the strength of our balance sheet, the diversity of our businesses and the continued commitment of our team members to meet our customer's financial needs will provide Wells Fargo with many opportunities in the year ahead. John Shrewsberry, our Chief Financial Officer will now provide more details on our fourth quarter results. John?
John Shrewsberry: Thanks John and good morning everyone. My comments will follow the presentation included in the quarterly supplements starting on Page two. John and I will then answer your questions. Wells Fargo had another strong quarter, earning $5.7 billion and $1.02 in EPS in the fourth quarter. Our results included continued strong loan and deposit growth that was diversified across our businesses and credit quality continued to reflect the benefit of our ongoing risk discipline. Our capital levels remained strong even as we returned $3.9 billion to shareholders in the fourth quarter through common stock dividends and net share repurchases. Slide three highlights our strong full year results that John discussed at the beginning of the call, including increased revenue and pretax, pre-provision profit, strong loan and deposit growth, higher earnings and increasing our net payout ratio to 57%. Page four highlights our revenue diversification and the balance between spread and fee income in the fourth quarter. The benefit of our diversified business model is that we have over 90 businesses that performed differently based on interest rates in the economic environment. While the balance between spread and fee income has remained consistent over time, the drivers of fee income have varied. For example over the past five years, mortgage banking as a share of total fee income has been its highest 28%, but because of the decline in mortgage refinancing activity, mortgage banking fees have declined as expected and represented 15% of fee income in the fourth quarter. However other businesses have benefitted from current market conditions, our trust in investment fees have steadily increased over the past five years and we're 36% of fee income in the fourth quarter. These examples demonstrate the benefit of our diversification and how our business mix enables us to focus on meeting our customer's financial needs, while retaining our risk discipline. Let me highlight some key drivers of our fourth quarter results from a balance sheet and income statement perspective starting on Page five. I'll discuss the drivers of our strong loan and deposit growth later in the call. Short-term investments in fed funds sold declined $3.5 billion from the third quarter due to the deployment of liquidity into loans and investment securities. This was the first time since the fourth quarter of 2011 that we've had a linked quarter decline. Investment securities increased $24 billion from the third quarter, due to $35 billion of purchases partially offset by run-off and maturities. The majority of our purchases were U.S. treasury and federal agency securities. Turning to the income statement on Page six, revenue grew $230 million during the quarter with growth in net interest income and stable non-interest income. Expenses increased in the quarter reflecting higher personnel cost, continued investments in our businesses and risk related initiatives and some typically higher fourth quarter expenses. Our results in the quarter also reflected lower income tax expense, which was down $123 million. As shown on Page seven, we continue to have strong broad-based loan growth in the fourth quarter, our 14th consecutive quarter of year-over-year growth. The core loan portfolio grew by $60.4 billion, or 8% from a year ago, and was up $26 billion or 13% annualized from the third quarter. Loan growth in the fourth quarter included $6.5 billion from financing related to the sale of our government guaranteed student loans as well as the Dillard’s credit card portfolio acquisition. Our liquidating portfolio decreased $20.1 billion from a year ago. It is now only 7% of our total loans, down from 22% at the end of 2008. Total average loan yields remain fairly stable declining just two basis points from the third quarter. On Page eight we highlight our loan portfolio to have strong year-over-year growth. C&I loans were up $36.4 billion or 15% from a year ago with broad based growth that I’ll highlight on the next page. Core one-to-four family first mortgage loans grew $14.4 billion or 7% from a year ago reflecting continued growth in high quality conforming mortgages, pardon me, non-conforming mortgages primarily jumbo loans. The credit quality of our core mortgage portfolio was outstanding with only six basis points of annualized credit loss in the fourth quarter. Auto loans were up $4.9 billion or 10% from last year. While we continued to benefit from the strong auto market, new originations were down from a year ago, reflecting our continued risk and pricing discipline in a competitive market. Credit card balances were up $4.2 million or 16% from a year ago, benefiting from a combination of organic account and loan growth as well as the benefit of the Dillard's portfolio acquisition. Slide Nine demonstrates the diversity of businesses that contributed to the growth in C&I loans. Let me highlight just a few. Asset-backed finance increased $16.7 billion, which included $6.5 billion from financing related to a government guaranteed student loan sale. Corporate banking grew $5.8 billion, driven by new customer growth and higher utilization rates from existing customers. And capital finance grew $3.8 billion reflecting new customer growth. As you can see on Page 10, we had over $1.1 trillion of average deposits in the fourth quarter, up $22.7 billion or 8% annualized from the third quarter. Our average deposit cost declined one basis point to nine basis points in the fourth quarter. Our strong growth in checking customers continued in the fourth quarter with primary consumer checking customers growing 5.2% from a year ago and primary small business and business banking checking customers increasing 5.4%. Our success reflected the advantages Wells Fargo offers including broad based and industry-leading distribution channels, enhanced product offerings that make it easier for customers to do more business with us and improved customer retention. We continue to grow net interest income on a tax equivalent basis, up $255 million from the third quarter, reflecting strong growth in average earning assets up $43.5 billion or 3%. The net interest margin, declined two basis point from the third quarter due to strong deposit growth, which resulted in higher average balances of cash and short term investments and from actions we took in the third quarter, which resulted in higher average balances and liquidity-related funding. The impact of all other balance sheet growth and reprising benefit in the margin by three basis point due to a larger investment portfolio and stronger loan originations, increased interest income from variable sources benefited the margin by one basis point. Our balance sheet remains asset sensitive, so we’re well positioned to benefit from higher rates, but as we’ve demonstrated by growing net interest income throughout the year, we're not relying on rates to increase to generate growth. Of course the first quarter will be impacted by two fewer days in the quarter. Total non-interest income was stable from third quarter as higher trust and investment fees, card fees, commercial real estate brokerage commissions and a $217 million gain on the sale of government guaranteed student loans was offset by a $396 million decline in market sensitive revenue, driven by lower equity gains and lower mortgage banking revenue and deposit service charges. The decline in deposit service charges in the fourth quarter was primarily due to lower overdraft related fess resulting from changes we implemented in early October designed to provide customers with more real-time information to manage their deposit accounts and avoid overdrafts. Mortgage banking revenue declined $118 million from the third quarter. As expected, mortgage origination income was down from the last quarter reflecting reduced volume from the seasonally lower purchase market. The decline in mortgage rates during the quarter resulted in refinancing volume increasing to 40% of originations up from 30% last quarter. While it's still early, the continued declining rates could benefit origination volumes from the first quarter and we currently expect volumes to be relatively consistent with fourth quarter levels, despite the fact that the first quarter usually reflects its lower purchase market. Our gain on sale margin was consistent with last quarter and is expected to remain within the range we’ve seen over the past four quarters. Servicing income increased modestly from third quarter reflecting lower unreimbursed direct servicing cost, partially offset by lower net head results. Our total trust and investment fees were up $3.7 billion in the fourth quarter which was a record high and increased to $151 million from third quarter driven by higher investment banking activity. Our expenses continue to reflect our investments in our businesses including risk related initiatives. As shown on Page 13, expenses were up $399 million from third quarter. There were a number of factors driving this increase. Personal expenses increase $272 million reflecting higher deferred comp expense, which is offsetting revenue, higher revenue based incentive compensation and higher healthcare costs. A number of our expenses are typically higher in the fourth quarter. Equipment expense was up $124 million, primarily due to annual software license renewals. Outside professional services increased $116 million, which included higher project related spending on business investments as well as risk related initiatives. Advertising expenses were also elevated up $42 million from third quarter. While these typically higher expenses should be lower next quarter we will have seasonally higher personnel expenses in the first quarter, reflecting incentive compensation and employee benefits expense. Our expenses will also reflect our continued investments in our infrastructure -- our risk infrastructure, including hiring new team members and ongoing project spending. Our efficiency ratio is 58.1% for full year 2014 and we expect the efficiency ratio for full year 2015 to remain within our target range of 55% to 59%even if the upper end of our target range we're operating more efficiently than many of our peers. Turning to our business segments starting on Page 14, community banking earned $3.4 billion in the fourth quarter, up 7% from a year ago and down 1% from the third quarter. I've already highlighted the strong growth in primary checking customers. We've also been successfully adding retail bank households. Through November our year-to-date household growth rate was the highest since 2010. Meeting the financial needs of these new households will help drive growth across our diversified product line. Our debit and credit card businesses are examples of where we've had success and yet still have opportunities for continued growth. Debit card purchase volume was up 8% from a year ago driven by primary checking customer growth and increased usage from our existing customers. Our credit card penetration rate increased to 42%, up from 37% a year ago. Credit card purchase volume grew 17% from a year ago reflecting account growth and increased usage among our existing customers. Wholesale banking earned $2 billion in the fourth quarter, down 7% from a year ago and up 3% from the third quarter. Loan growth continued to be strong with average loans up $32.2 billion or 11% from a year ago with growth across many businesses as I highlighted earlier. Credit quality remained outstanding with eight consecutive quarters of net recoveries. Deposit growth was also strong with average core deposits up $33.9 billion or 13% from a year ago. Results also benefited from strong investments banking fees, up 10% from a year ago, driven by higher loan syndication fees, high yield debt origination fees and equity underwriting. Treasury management revenue increased 11% from a year ago, benefiting from record product sales in 2014 and re-pricing. Wealth, brokerage and retirement earned $514 million in the fourth quarter, up 5% from a year ago and down at 7% from the third quarter. Revenue grew 6% from a year ago with growth in both net interest income and non-interest income. The growth in fee income was driven by a 12% increase in asset-based fees as we continue to execute on our strategic initiative of focusing on plan-based relationships resulting in higher recurring revenue. Our brokerage advisory assets grew to $423 billion, up $48 million dollars or 13% from a year ago, primarily due to positive net flows. Loan growth for WBR remained strong, up 13% from a year ago, the sixth consecutive quarter of double-digit year-over-year growth. This growth was primarily driven by an increase in high quality, non-confirming mortgage loans. Turning to Page 17, credit quality in the fourth quarter remained strong with a net charge-off ratio of 34 basis points of average loans. The $67 million increase in net charge-offs from the third quarter was primarily driven by lower recoveries down $54 million, which we would expect at this stage with the credit cycle. Nonperforming assets have declined for nine consecutive quarters and were down $739 million from the third quarter. Nonaccrual loans declined $517 million and foreclosed assets declined to $222 million. The reserve release was $250 million in the fourth quarter, down $50 million from third quarter and down $350 million from a year ago. Our capital levels remained strong with our estimated common equity Tier 1 ratio under Basel III using the advanced approach full phased on at 10.44% in the fourth quarter. Our ratio declined slightly from the third quarter, reflecting an increase in the risk weighted assets, primarily from strong loan growth in the quarter. We stated that our long term target is 10%, which includes a buffer over required minimums. Since we've achieved our targeted level, our capital ratios may fluctuate from quarter to quarter reflecting changes in asset levels or composition or changes in OCI impacted by market volatility. These potential changes are why we maintain a buffer. As shown on Slide 19, we returned $3.9 billion to shareholders in the fourth quarter. Our common shares outstanding declined by 45 million shares in the fourth quarter, reflecting 62 million shares purchased during the quarter. In addition we entered into a $750 million forward repurchase contracts that's expected to settle in the first quarter for approximately 14 million shares. As a reminder, our share issuance is usually higher in the first half of the year, given the timing of certain employee benefit plan issuances. So in summary, our results in 2014 and for the fourth quarter reflected the benefit of our diversified business model, with strong growth in loans and deposits. Our loan portfolio is well diversified and charge-offs were near historic lows. We increased the amount of our capital and liquidity and returned $12.5 billion to shareholders through dividends and share repurchase. Our net payout ratio was 57% for the year within our targeted range of 55% to 75%. We believe we're well positioned to benefit from an improving economy and increased customer base. Our diverse product line and our continued risk discipline. Our diversified business model has performed well across a variety of economic and interest rate environments and I am optimistic that it will continue to produce opportunities for our customers, our team members and our shareholders in the year ahead. We'll now be happy to answer your questions.
Operator: [Operator Instructions] Our first question will come from the line of Joe Morford of RBC Capital Markets. Please go ahead.
Joe Morford: Thanks. Good morning, everyone.
John Stumpf: Hey morning.
Joe Morford: I just wondered if you could speak to how we should think about weighing the positive and negative effects of the sharp drop in energy prices on the bank, while it should help out the consumer businesses, is it enough to offset any potential credit issues or probably slow down in loan growth and investment banking activity?
John Stumpf: Well as I mentioned in my comments Joe, since the United States is a net consumer, net importer of oil, we think it's a positive for the U.S. economy. Clearly that's on average because there is going to be some states that are impacted. Some customers who are going to be impacted and some businesses that's going to be impacted, but we serve 70 million customers. Virtually all of them know how to fill the gas tank and go to a gas pump and that's a real benefit. So we think net, net it's an opportunity. Surely there are offsets like we said, but even within the oil and gas business and John mentioned we are participant there. It's about 2% of our loans. There is still a lot of opportunity for consolidation there and we'll participate in that with our customers. We're looking at our portfolio. We analyze that. We've been through that over the past, but net, net, we think it's a positive.
Joe Morford: Okay. Great, I guess somewhat related to that with the teams recently, the expectation is now that higher rates are getting pushed out. We could be lower for longer, which theoretically could weigh on margins. Do you expect to be able to offset that with better growth in the business amidst the stronger economies you talk about or do you see any need to take a harder look at expenses and what other levers might you have to pull there?
John Shrewsberry: We're always taking a hard look at expenses. So there is nothing incremental that we would plan on doing there, but continuing to be as vigilant as we have. We've been operating at a pretty strong level in a zero interest rate environment for a very long time and while because of the way our balance sheet is positioned, it would probably be -- there is upside when short term rates move and if that happen later, then that upside might be realized later. We're continuing to position ourselves to compete and to perform in this interest rate environment and so loan growth, deposit growth, redeploying excess liquidity into earning assets, as I said being vigilant on expense, all of those things contribute to the performance that we've had and that we're anticipating continuing to have until that time that rates begin to move.
Joe Morford: Okay. Thanks so much for the thoughts.
John Stumpf: Thanks Joe.
Operator: Your next question will come from the line of John McDonald with Sanford Bernstein. Please go ahead.
John McDonald: Hi. Good morning.
John Stumpf: Hi John.
John McDonald: I was wondering John on just a question on credit and provision asset quality clearly remains excellent and I wasn’t sure if you mentioned future reserve releases John, but with such strong loan growth and credit metrics now looking stable, should we expect the reserve releases to taper off and might you need to start adding to reserves at some point if loan growth continues at this kind of pace?
John Shrewsberry: I think the short answer is yes. if we have robust loan growth going forward all things being equal even, that would contribute to the need for some amount of incremental provisioning. So it's going to be a function of the amount of loan growth, the mix of loan growth, the quality of the portfolio overall and general economic conditions. One thing I would add to Joe's first question also is there is no specific provisioning action in the fourth quarter for what's going on in the energy world. There is nothing anticipated, nothing necessary at the moment, but there is nothing in that quarter either.
John McDonald: Okay. Did you make a comment about reserve releases John and if you achieved kind of -- in the past couple of quarters, you said reserve releases could continue. I was wondering if that changed a little bit now with credit bottoming in if I missed out.
John Shrewsberry: With the size of the portfolio, the size of the allowance and the amount of the fourth quarter's release, the $250 million, it's close to call. We've said in the recent past to expect them to taper. Now for the reasons that you mentioned and I described, there could be future releases -- there could be future net provisioning. So we're at that point in the cycle I think.
John McDonald: Okay. Got it and then in terms of just the net interest income, the puts and takes, did you say how big the Dillard’s portfolio was or could you tell us?
John Shrewsberry: We can't because of the nature of the contract we have with our customers. You can see the amount of loan growth in the credit card portfolio from quarter to quarter and that's a combination of the organic growth in the Dillard’s portfolio.
John McDonald: Okay. And then any clarity you can offer on what opened up in terms of opportunity to deploy the liquidity this quarter, anything driving that in particular?
John Shrewsberry: Well, some clarity around our liquidity framework, clarity around -- further clarity around LCR, further clarity on what kind of cash versus other HQLA we would need to have. I think that emboldened us a little bit in terms of finding an entry point, but as we've said, these are difficult times for finding attractive entry points into fixed income markets when we're thinking about making that switch.
John Stumpf: And John also we had as you know continued very strong deposit growth.
John McDonald: Got it. Okay. Great. And just one last quick thing on TLAC John, rules on finalized, we do have a proposal, how do you feel on that and would you have to do some gradual preparing for that as we go forward?
John Shrewsberry: Sure, well just depending on where the ultimate rule comes out versus the range that's been published, at the low end of the range we've got less to do and at the high end of the range we would have more to do. There is still a lot to know and there is some wood to chop in the regulatory realm to get to the final rule where on the record is pointing out that we really don't -- the industry doesn’t understand the need for the magnitude of the total buffer that's been to our loss absorbing capacity that's been talked about here. We certainly find that it lands a little bit harder on people who seem to have less risky business models. Those of us who are deposit funded with a little bit more straightforward deposit taking and lending type of activity. We would like some clarity on why that makes sense, but however it lands, within the range that's been published, the approach for Wells Fargo is going to be to add more termed at the holding company level and that will have a -- that will have a P&L consequence that we have to navigate through and it will be substantially more manageable at the lower end of the range and somewhat more expensive at the higher end of the range.
John McDonald: Okay. Thanks.
Operator: Your next question will come from the line of Erika Najarian with Bank of America. Please go ahead.
Erika Najarian: Yes. Good morning. Thank you.
John Stumpf: Good morning.
Erika Najarian: I appreciate the color that you have given us so far on what you expect from mortgage originations in the first quarter, but as we think about the full year and think about your comments earlier, high consumer confidence, accelerating GDP in the context of potentially lower long rate for longer. Is it possible that from an industry level, the origination growth for this year could surpass the current MBA forecast of 6%.
John Shrewsberry: Yes. The numbers last time that I've seen from them is $1.1 trillion to $1.2 trillion. Yes, it could be higher based on those things. As I mentioned in my comments with what was done recently in FHA and some of the things that the GSEs are doing and if rates stay low or are favorable, surely we could see more activity and you could see actually more activity on both the refinance side and the purchased-money side. We'll just have to see how that goes, but -- and I don't think there has been any reduction or any update on those numbers from the MBA, but it could the higher end of that range.
Erika Najarian: Got it. And on the flip side to that, you mentioned that you did get more clarity on also your HQLA with regards to being more aggressive on liquidity deployment, but John, you've mentioned several times that absolute level of rates have dictated your cash deployment or liquidity deployment strategy. As we look at into 2015, was the clarity around the rules enough to make you a little bit more aggressive about deploying your liquidity into earning assets or is it going to continue to be largely rate dependent?
John Shrewsberry: Oh, it's a good question. It's substantially rate dependent at this point and loan growth dependent as well because that's the first call in all of our available liquidity is making loans to customers. But if we believe that we're in a lower for longer, long term rate scenario separate that from policy rates for a moment, but just thinking about the tenure and mortgage rates etcetera, at the margin that probably emboldens us a little bit additionally to convert what's cash today into duration over the course of the year. And actually we still have tens of billions available. So there's just a lot of liquidity on the sheet.
Erika Najarian: Understood and just a quick follow-up, we appreciate the color that you gave in terms of the impact of energy, as there have been a lot of questions from investors in terms of what it would take for banks to adjust its qualitative reserve to reflect lower energy prices? I was just wondering if that's how Wells Fargo does it or do you really look at the reserve at least in terms of your energy and commercial exposure on a name by name, loan by loan basis?
John Shrewsberry: So in the case of commercial and corporate loans, it's absolutely that some of the parts have a name by name basis and the risk rating on each loan. We have hundreds of customers in the energy business. They are in the E&P or upstream part of the market. There are midstream companies. There are services companies. We have the largest team in this area, very long tenure. Have been through several cycles and we're working with -- we're building customer by customer and working through each situation to figure out what this job means to them based on their leverage, based on their hedging profile, based on their assets, based on their management capability and that will lead to risk rating changes on a loan by loan basis or a name by name basis as time unfold and it's that activity that would lead to changes in our reserving posture for the portfolio.
John Stumpf: And we don't want to minimize this, but this is nature of that business. If you go back just six years, we've had $30 a barrel oil and we've had $140 a barrel oil. We've seen gas for example, natural gas go from $6, $7 Mcf to $2 and some change today and that's just part of that business.
John Shrewsberry: On the E&P side of that portfolio, those tend to be reserve based loans, asset based loans with a very interactive approach between the bank and the borrower in terms of determining the value of the collateral and then re-margining the loan down to reflect changes in the value of the collateral and of course that's at our discretion. We have our own engineers and we're very engaged in that process. So all of that -- all of that ties into what the future reserving needs requirements are for that portfolio and as I said, nothing obviously has revealed itself yet and there is nothing in the fourth quarter specifically for that.
Erika Najarian: Got it. Thank you for taking my questions.
John Shrewsberry: Sure. Your next question will come from the line of Ken Usdin with Jefferies. Please go ahead.
Ken Usdin: Hi, good morning, guys.
John Stumpf: Hi Ken.
Ken Usdin: A couple of questions on the fee side, John you had mentioned some of the tweaks you made in October on the service charges side, so I am wondering if you can help us understand what types of changes those were? And then how you're looking at your product set with regards to either payday advance and whatever pending rules we could still get at some point next year on overdrafts and if that would continue to have an impact on your deposit fees?
John Shrewsberry: So what happened in October wasn’t a change in the product or what we charged for and rather we un-ruled some incremental technology that allows our customers to have more real time information to manage their own baking affairs and they've been using that information and successfully reducing the amount of over-drafting method and which had an impact on our revenue. We think it's very customer friendly and it's good for all of us. That's distinct from any pricing approach or a product approach that we'll have. With respect to -- go ahead.
Ken Usdin: Okay. No go ahead.
John Shrewsberry: You asked about short term or payday type lending, I think it's clear that during 2014 we discontinued a product that we used to offer that was a direct deposit advance product that allowed people to borrow on a short term unsecured basis with their next direct deposit pay check as security for a source of repayment for the loan and there was some regulatory urging around that. I think most of the discussion around those types of products is now frankly outside the banking system because it's private financed companies who are providing that and that's how it seems to be doing that with from a regulatory perspective. I would also tell you that the discontinued product is out of the run rate at this point. So the impact has been fully realized.
Ken Usdin: And then overdrafts?
John Shrewsberry: Hard to say much more about it other its -- we're not in the process of re-pricing or rethinking the product capability. The results that you'll see in our numbers are a reflection of the activity and behavior of our customers as they manage their own baking affairs.
Ken Usdin: Okay. Another question I had was just on the kind of market related revenues. They've been trending a little bit lower if I combine trading activities, securities gains, equity investment gains and that's even with the student loan gain in that 354 number. Should we generically expect that you'll still be able to generate this type of market related revenue or is it more likely that we can trend down over time?
John Shrewsberry: So there is lot of moving parts there and I would look at a multi quarter average to think about how to model it. On the trading side, their customer accommodation, customer facing trading revenue that we make, which is a pretty modest part of Wells Fargo revenue profile, but will probably ebb and flow along the lines of what you're seeing in the industry just at a more modest level. That also -- the trading line also includes the impact of our deferred comp hedging programs. So it's a little noisy given the magnitude of that versus the magnitude of our trading businesses, but those will be with based on industry factors and the deferred comp programs will be more revenue and more expense in an up market and less revenue and less expense in a down market generally speaking. On the other elements, we've got gains from equity securities, gains from debt securities and in the equity space, you've seen some of the businesses that we've been involved in that frankly are -- that continue to be -- are sources of revenue that we would anticipate seeing if market conditions stay the same as they are today. So I wouldn’t model that down too heavily. And on the debt side, given the levels of rates that we're at and in some markets the levels of spreads that we're at, there are some debt securities, which it makes sense for us to sell and monetize from time to time just because their market value substantially exceeds what we can imagine as their intrinsic or certainly their carrying value. So there will be pops in there from time to time as well. And it's some of those things that gets to that collection that you described.
Ken Usdin: Okay. And last one, maybe you can just talk a little about the momentum in the trust business and what type of outlook you see just through asset gathering and after a really strong year and in that part of the business. Do you see -- how is the pipeline for asset growth looking?
John Shrewsberry: We're very happy and pleased with the progress we've made in that area. One of the biggest opportunities we have is relationship between David Carroll's Wealth, Brokerage and Retirement Group and Carrie Tolstedt's Community Banking Group. We have as many assets away from customers who call us their bank as we do under management right now. So the relationship and the working date of their to bring those assets home if you will, has been a big opportunity for us and -- but I still view this. Of all the opportunities we have in the company, with all of our businesses probably that is our biggest opportunity to jump a curve or to even do -- to show some incremental growth above what you would see in other more mature businesses. So a lot of opportunity there; pleased with where we are, lot more to do.
Ken Usdin: Thanks guys. Appreciate it.
John Shrewsberry: Thank you.
Operator: Your next question will come from the line of Paul Miller with FBR. Please go ahead.
Paul Miller: Yes, thank you very much and there has been a lot of news thrown out today, but on your -- if you mentioned this in the prepared marks I apologize, but your C&I loans jumped up. Is that where the Ginnie Mae financing came through on your balance sheet?
John Shrewsberry: No, that's not that Paul.
Paul Miller: So that's just pure…
John Shrewsberry: The biggest thing to call out is the student loan financing that we did. If you saw the portfolio of student loans and we provided some financing to the company who bought those loans and so if one items stands out in the quarter as outsized, it would be that, but those are all commercial loans.
Paul Miller: Yes and is there any particular industry that are doing well? Is it just across the Board and across geographic that this line item picked up? Because this is one of the line items we've been waiting to see pick up in general amongst the bigger ranks.
John Shrewsberry: Very broad based.
John Stumpf: Very broad.
Paul Miller: And you're not saying because the questions that I get is that everybody is concerned about the energy credits, but you're just not seeing and I know you made some opening comments about that, but you're just not seeing anything on the negative side on energy credits at this point.
John Shrewsberry: Well this drop in crude is very recent and the companies are taking the appropriate evasive actions to preserve cash, to de-lever, to reduce their expense base etcetera, but it hasn’t worked its way into loan quality. Now loan demand certainly will be down in that area I assume, but in the fourth quarter you can see what the change in growth is out there and net outstandings was which more than makes up for whatever reduced demand there is in the energy space.
Paul Miller: Okay guys. Thank you very much.
Operator: Your next question will come from the line of Bill Carcache with Nomura Securities. Please go ahead.
Bill Carcache: Thank you. Good morning. I had a question on your credit card growth strategy. I think most would agree that credit card assets yields have held up quite well in this slow rate environment relative to other asset classes. Would you consider competing more aggressively on rates in an effort to growth your share of outstanding balances particularly since the high return business where you arguably have room to give up a bit on pricing, while still generating returns that are attractive relative to other lower return over yielding asset classes?
John Stumpf: Well let me say it this way. First of all we love the card business, especially for our community bank customers and we've grown from the low to mid 20s penetration to now to 42% of our customers carry our credit card. And we like that business a whole lot not only from the balances we get, but to be relevant to our customers as far as handling their payments, providing them services that are even around payments and so forth for them. We want to provide great value. Pricing sure is part of that. You've seen recently where we've partnered with American Express. We do a ton of business with Visa on the higher end, higher value cards. So this is really a strategy about getting more cards top of wallet with our customers and pricing, rewards, the whole value of proposition is part of that. I wouldn’t say it's just any one thing around price per se, but it around value.
Bill Carcache: Great. Thank you. A separate question if I may on municipal deposits, can you talk about how significant municipal deposits are to Wells? Are you deemphasizing them given their relative unfriendly LCR treatment and to what extent do you see future revenue opportunity for holding them?
John Stumpf: We have a -- we have a very big municipal business and deposits are certainly part of that. It's a service that we provide to the tax exempt issuing community and by municipal, it's all forms of state and local and country government and other non-profit types of customers. The unfriendly LCR treatment came from the fact that municipal deposits tend to be collateralized by us so that their municipal depositor is safer in the event of a problem with their bank and that wasn’t being taken into account in the original approach to LCR. We think we've gotten that favorable outcome there, so that they're now LCR friendly. Still very competitive. We still like those deposits. We still very much enjoy those relationships because there is a lot of banking service that we provide to those types of clients, but they don't have the LCR problem that they might have seemed to have in pre-clarification that came out in the third or fourth quarter.
Bill Carcache: Okay. So it was my understanding that for the purposes of the LCR calculation in the numerator, the high quality liquid assets would not be able to include the collateral associated with the deposits and then had to outflow in the denominator on day one. Is that not the case anymore?
John Stumpf: I don't think that you have it right. I think that it works fine. Incidentally there were two issues that people were trying to address in tweaks to LCR relating to munis. The other one was whether high quality muni bonds would be considered HQLA on the asset side and I don't think that there has been a resolution there and there are a number of our customer -- our clients who issue high quality muni bonds to take exception of that and we will see where that goes. But on the deposit side, I think we've cracked the code.
Bill Carcache: Thank you.
Operator: Your next question comes from the line of Mike Mayo with CLSA. Please go ahead.
Mike Mayo: Good morning. I had a question about the efficiency ratio. First what were the drivers in higher revenue driven compensation and deferred comp, especially with lower originations and software trading results? And then the following question to that is are you still at the upper end of your efficiency target, what can you do to get at least back towards the middle end?
John Shrewsberry: Well so the drivers of the revenue oriented portion of increased compensation included a handful of businesses. I would say investment banking was one of them where we were $150 million up in the quarter and so some portion of the elevated expense is attributable to that, but it comes from a few others as well. And again to those businesses that performed better in the fourth quarter, so it could be with 90 different businesses, it can be a little here, a little there. That was part of it. So we find ourselves in the high 58% or now 59% and with a lot of emphasis on trying to be as efficient as we can and how we spend our money every day. There are no guarantees that we're moving toward the middle of the lower end of the range in this interest rate environment and as we go through a full year. While we're tackling the things that we need to tackle, we spend a lot of money on risk management, compliance related initiatives other things that have a regulatory origin and some of that is semi permanent, might be around for several quarters and some of it is going to around the run rate for a while. If rates begin to move up that probably moves us down in the range, but it's frankly a 59%, which is the high end of our range where we can tolerate that. We've been performing very well.
John Stumpf: Mike, you're hitting one of the important issues for us as. As John mentioned, we take this seriously. We're looking for all those opportunities to eliminate expenses where customers don't find value and it's an ongoing continuous process for us, reducing square footage. It's one of those looking hard at the kind of money we spend that is not revenue producing if you will, but also making sure that we take a look at the long term. So we continue to invest in things like late last year Apple Pay and other things that we do to provide convenience for our customers. So it's always a don't waste, but also we take a long term view, but this continues to be a big focus for us.
Mike Mayo: Well correct me if I am wrong. You have a 55% to 59% efficiency target range and what I am hearing now is, well if the rate environment we might be at 59% whereas I wasn’t sure if I heard that same message before or saying well unless rates go up, we won't get to the middle part of the range and you were a little bit lower before. So am I hearing the message wrong or is it simply that you've done what you could for so long with the low rate environment and you can't do a whole lot more or what is it that leads you to say, well, 59% okay.
John Shrewsberry: Well I think when we had the range, we knew that we would surely we would love to be at 55%, but we also recognized that that's how we gave a range. These were -- think of as guardrails and we're spending more in cyber today. We're spending more on all things risk. On the other hand, we've not yet pulled out all of our expenses around loss mitigation. We continue to make investments in distribution. So I guess a range is a range and I can't guarantee with the lower end, but if we were at the high end that's also acceptable. In our mind, if we're making the right investments, in the right things and eliminating expenses where we think they can be eliminated. So that's how we feel about it.
Mike Mayo: And then last follow-up the cyber expenses or the all things risk expenses, have these ticked up some, or is this kind of what you had expected?
John Shrewsberry: They've ticked up in the terms of we continue to make more investments there and we're starting to get the annualization of expenses we made last year. And we'll get more efficient in that over time, but we're spending -- we're spending the money we think we need to spend. And sometimes that's hiring consultants and then over time you can convert whatever they're doing to team members, which tends to be more efficient, you're not as efficient in every process, the minute you adopted it or employ it, but more money has been spent there.
Mike Mayo: All there. Thank you.
John Shrewsberry: Thank you, Mike.
Operator: Your next question will come from the line of Matt O’Connor with Deutsche Bank. Please go ahead.
Matt O’Connor: Good morning.
John Stumpf: Good morning.
Matt O’Connor: If I could follow-up on the net interest margin was down just two basis points, which I think was very good in this kind of environment. As I look at some of the underlying detail on the yields of the securities and some of the loan yields. I guess I don't totally understand how they've been so stable and wondering if there is anything you can add on maybe first the securities, you've been growing it and the yields have been remarkably resilient.
John Shrewsberry: It's just math. What we've been growing hasn’t been that extraordinary in terms of its incremental contribution to the way that it average because the denominators is big as it is. If we continue to deploy as I know you know, if we continue deploying in this environment, ultimately it will start to skew down the way it averaged return and also we've been tending to invest in treasury and agency securities and just from a credit quality point of view, that's going to bring down returns, setting aside the historical book yields versus current book yields and the shape of the current when the investments were made. If we've got corporates and munis and some other things in the starting portfolio, if we're just adding U.S. treasuries, it's going to bring things down, but it just hasn’t revealed itself yet because the numbers haven’t been big enough yet.
Matt O’Connor: Okay. And then on the loan yields, I guess they've been surprisingly resilient as well. Do you feel like -- I know it's a blend of eight or ten categories the way you disclose it, but do you feel like generally speaking loan yields have stabilized and I am looking at the C&I that was actually up a couple bips, but really up and down the portfolio. It feels like there has been pretty good stability the last three or four quarters.
John Shrewsberry: I think that's right. We're in fiercely competitive markets. Not every bit of composition is in the last phase. It's point of spread on a loan. Sometimes it's in the structure of a loan and of course there are places we'll back away from when that happens, but it is competitive, but it hasn’t all shown up in price.
Matt O’Connor: Okay. And then I mean I just -- I guess putting it all together as you think about the next margin percent going forward, probably largely dependent on loan growth, but how do you think it shapes out? Obviously the rates where they are doesn’t help but is it just as modest pressure of is there more material pressure to come?
John Shrewsberry: It depends on the pace of continued deposit inflows and how that gets redeployed. If deposits remain steady where they are, then the loan growth and the redeployment from cash into investment securities is going to be very supportive of the Inco. If we get keep getting high single-digit or even low double-digit deposit growth and it doesn’t make and loan growth isn’t happening at the same pace where redeploying into investment securities doesn’t make sense at the same pace, then the math is going to put pressure on that calculation. And as you know, that's not a calculation we're managing to. It's an outcome of the other things that we're doing, but the driver there is the growth in deposit and how you responsibly deploy that into either loans or securities in the same timeframe that the deposits are coming in.
Matt O’Connor: Okay. All right makes sense. Thank you.
Operator: Your next question comes from the line of Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck: Hi. Good morning.
John Stumpf: Hi Betsy.
John Shrewsberry: Hi Betsy.
Betsy Graseck: Hey, I had a question on investment spend and thoughts around mobile wallet with Apple Pay obviously you did a lot of work there, is there an opportunity to take those investments and potentially expand them into mobile wallet, real time banking other tokenization strategies?
John Shrewsberry: Well we're doing a lot of work in all those things, but the so called paperless store and doing real time cash letters and helping customers with real-time information not understanding which channel they're involved. And so I would say all the above is important. What we've found, which is interesting is that our most loyal customers today are ones who use the channels most often and the most types of channels. So even for those customers who are very advanced technology and use of technology, ease of technology who might be dominant in that channel, still visit stores on a infrequent but regular basis. They go to ATMs. So there is lots of things. And we're making -- some of the investments we're making is to set up an appointment with the banker using your technology. We're testing things about being able to authenticate customers knowing they are in the stores, working on things that would authenticate an ATM machine, maybe using your mobile on. So there is mobile devices, so there is just lots of things going on there. And we're actually leaning a lot of those things from retailers and other service providers outside of our industry. So pretty exciting stuff.
Betsy Graseck: And do you feel this is like table stakes and will just maintain share or do you think that you're doing things that could potentially drive share up, drive down that expense ratio?
John Shrewsberry: Well I think about less or an expense ratio, but these are more than table -- while they're table stakes in some cases, if you don't have a mobile offering, you're probably not going to serve most millennials today. But we think of it more than table stakes. We think it's a big reason why we're growing net new primary tech new account where we're 5% a year. The positive growth we've had clearly is a result of -- partially a result of our distribution model and the Omni channel view we have of these various channels, not separate businesses, but combined into really centric around the customer needs and convenience. And our growth is I think reflective of our commitment to that.
Betsy Graseck: And I guess I am just wondering too on a Dillard’s because I would expect that retailers also want best-in-class mobile apps etcetera, is this part of what we should expect you'll be delivering to Dillard’s and other private liable portfolios that you're in?
John Shrewsberry: Well I don't want to speak about a particular situation, but I'll just give you this. 16 years ago, we didn't have an online offering. Today over 80% of the customers are actively online, some 28 million or 24 million customers actively online on the consumer side. Five years ago we didn't have a mobile offering. Today we have over 14 million customers on that. I mean mobile is the fastest growing, fastest adopted channel we've had in our history of our company. And the things that customers can now do mobally and the things that they’ll be able to do in the next year or two as we continue to introduce new capabilities is really exciting. So watch for this. It's really important.
Betsy Graseck: Okay. Thanks.
John Shrewsberry: Thank you.
Operator: Your next question comes from the line of John Pancari with Evercore ISI. Please go ahead.
John Pancari: Good morning.
John Stumpf: Good morning.
John Pancari: On the -- kick the energy horse here again, so my apologies, but first of all can you just help quantify your total leverage loan book what the size is? And then of that leverage loan book, how much of it is energy?
John Stumpf: Sure, so we don't have a leverage loan book. We have loan portfolios in various lines of business. We have an energy loan portfolio, which would include both oil and gas and as I mentioned, it's about 2% of our loans overall and it includes E&P companies. It includes mid stream, pipeline companies and it includes services companies. It also includes some investment grade integrated oil names. But some of that is about 2% of our total loan portfolio. Some of those companies will have higher leverage. Some of those companies will have lower leverage, but we don't draw the portfolio line along the level of leverage.
John Pancari: Okay. And then separately related to that, do you have the amount of bond exposure that you may have held in your trading portfolios for any deals that you've done in the energy sector? Do you have that quantified?
John Stumpf: Yes, it's a good question. So I'll quantify for you our total securities exposure including what's in trading and also what's in AFS because we have some -- we have some corporate investments in energy names as well. And the sum total of both of those is less than a $1.5 billion at Wells Fargo and it's much smaller portion in trading which of course gives mark-to-market through the P&L every day and somewhat larger percentage of that is sitting in AFS, which we mark every day, but the value change goes through OCI.
John Pancari: Okay. All right. And then separately on the loan growth I agree good pick up that we saw in C&I for the quarter, and as we look out into 2015, is it fair to assume that you should see some acceleration in the loan growth that you're looking at for 2015 versus what you achieved in 2014. I think you're in the 4% to 5% range for 2014. Is it fair to assume that, that accelerates from there next year or for the full year 2015?
John Shrewsberry: I think knowing what we know about the economy today, we feel better about the next four quarters than couple of the last four quarters. So if the most recent quarter is the continuation of a two quarter trend, then yes, we'll probably have higher loan growth or higher amounts originated. Now if the denominator keeps growing as we grow the size of the portfolio and at some point the rate gets impacted by that. But yes, it feels like a good year for loan growth.
John Stumpf: You know John, we think if you're going to grow revenues over the long run, you have to be growing households, cross-sell deposits and loans and we share a plan for all of those.
John Pancari: Okay. All right. And my last question. I know there are some questions around the excess liquidity reinvestment and what you've been buying, I know you indicate you're buying treasuries and agencies. Do you have what durations and what yields that you purchased in the quarter? Just to get an idea of what the ultimate impact could be on the margin?
John Shrewsberry: Yes, we don't lay out quite that way. You'll see in our tables what we're talking about, but its treasuries and agencies you know the timeframe and I can tell you we're in the intermediate part of the curve. So that will probably get you there.
John Pancari: Okay. All right. Thank you.
Operator: Your next question comes from the line of Eric Wasserstrom with Guggenheim Securities. Please go ahead.
Eric Wasserstrom: Good morning.
John Stumpf: Good morning, Eric. Oh Regina, he dropped.
Operator: Eric, your line is open.
Eric Wasserstrom: Hi, can you hear me?
John Stumpf: Yes, hi Eric.
Eric Wasserstrom: Oh! Hi. That was an odd, because I was not on mute and I have the telephone at least once before. Just to follow-up on the OpEx for a moment, I understand the discussion of the ratio, but just in terms of absolute level, based on what I am hearing in terms of your loan growth expectation, it sounds like we should be anticipating an absolute level of expense that is higher than what we saw in 2014. Is that correct?
John Stumpf: It's really tough to say, which is why we're talking percentages and think about things in terms of a range and you can see the items that we're calling out as feeling seasonal in Q4 and there is a handful of them and there an amount to a few $100 million. And then of course in Q1, we typically have escalated personnel in benefits expense as well. In terms of the OpEx of the investments that we're making in risk management etcetera, they will be elevated for some period of time, but because of all of the other drivers to the total expense number. It's possible that we operate and there is a reasonable expectation that we operate at a lower level than we have in the last couple of quarters because we're always pushing down on things where we can. So that's why we give you the range. We think we're going to be in the range in 2015 like we have been in 2014. One other item I had mentioned for those other new two that we do have this deferred comp element that shows up in expense even though it's a P&L neutral item and that creates in some cases a couple $100 million worth of noise in any given quarter, which is material given the differences that we're talking about here.
John Shrewsberry: But Eric even though we're at the high end of the range now, one should not assume that it's not top of mind around here, it is. It is. It range top of mind and it's always looking for opportunities to be more efficient, but also continue to invest in the future because we do have a long term view.
Eric Wasserstrom: Right. Of course. And the financing that you provided on the student loan sale, what is the expected duration of that?
John Shrewsberry: So that financing probably comes down over the course of next couple of years on a relatively steep curve as the portfolio gets permanently financed into student loan ABS and so my expectation I think the reasonable expectation is that it's average life would be maybe a little bit more than a year as it comes down.
Eric Wasserstrom: Got it. And just quickly one last thing, the tax benefit that you mentioned in the period from the change in federal tax law, is that a permanent benefit and what should we expect for your kind of go forward GAAP tax rate?
John Shrewsberry: So what happened in the fourth quarter is both the impact of the extender legislation that came in at the end of the year as well as the resolution of some discrete matters that we've been working on with the various taxing authorities for some period of time. I would look at recent prior years for what the reason of what a good expectation is for a tax rate going forward.
Eric Wasserstrom: Okay. So largely unchanged, it sounds like.
John Shrewsberry: Yes, I think that's right.
Eric Wasserstrom: All right. Thanks very much.
John Shrewsberry: Thank you.
Operator: Your next question comes from the line of Chris Mutascio with KBW. Please go ahead.
Chris Mutascio: Good morning, guys; Happy New Year to you.
John Stumpf: Happy New Year to you, Chris.
Chris Mutascio: I have a quick question for John Shrewsberry, you noted that your investment securities portfolio was increasing quite materially over last year; I think it's up about $50 billion. Can you tell me what portion of that is Ginnie Mae, MBS? How much is that Ginnie Mae portfolio. If you have exposure has it grown in '14?
John Shrewsberry: It's negligible.
Chris Mutascio: Okay. Because I am assuming the refinance activity there with a 50 basis point cut, plus rates being down, I didn't know what the impact would be perhaps on the margin, but your Ginnie Mae exposure is negligible.
John Shrewsberry: Negligible.
Chris Mutascio: All right. Thank you very much.
John Stumpf: Thank you.
Operator: Your next question will come from the line of Nancy Bush with NAB Research. Please go ahead.
Nancy Bush: Good morning, guys.
John Stumpf: Happy New Year, Nancy.
Nancy Bush: Happy New Year. Two questions for you. John you mentioned the changes at in the GSEs and at the FHA with regard to allowable mortgages etcetera. There seems to have been a remarkable turnaround in Washington since the days the financial crises when everybody was cracking down on mortgages and we're in a reverse posture now. As a result of this, do you see any changes that you might make at the mortgage company in terms of businesses that you exited, the wholesale business etcetera that you might want to go back and revisit?
John Stumpf: No, well first of all, I think those are positive changes that have been made and I think they've been largely made because it got too restrictive and customers who deserved a loan, who wanted to buy a home could afford it, could not get credit. And I am not -- I don't want to overstate the amount of those folks, but there was that element and I think we've come to a much better place with regulators, with the industry and with customers. But no, we don't have an intention of going back into joint ventures or the wholesale business. We like the business mix we have now.
Nancy Bush: Okay. Second question is this. There was -- I believe a heard on the Street column a few days ago in the Wall Street Journal about the impact of the energy price drop on various banks and John I think they mentioned that the figure of 17% of revenues comes to mind with regard to your capital markets businesses related to energy. Could you just clarify that where you stand in capital markets with relation to the energy business and is there going to be a big impact in revenues there?
John Stumpf: So in that article they referred to I think geologic information for 2014 that suggested that we had about $280 million worth of underwriting revenue from energy related activity. So that would be debt and equity underwriting and probably loan syndication fees as well. So that's the order of magnitude. The 17% would refer to that as a percentage of the investment banking revenue -- U.S. investment banking revenue for full year of 2014. So if in terms of at risk or where it goes from here, that's a starting point for last year. And it bounced around between I don't know, $150 million and maybe $300 million over the course of the last several years.
Nancy Bush: Okay. And just one more question John Stumpf for you, you've been very positive on the direction of the American economy for the last couple of quarters and I think you remain that way. Well I don't know if you saw your predecessor Mr. Kovacevich on CNBC a couple of mornings ago and he was not so positive on the strength of the American economy. I am sure you still talk to Dick from time to time and sort of what is behind the differing views?
John Stumpf: What was his name again?
Nancy Bush: That K guy.
John Stumpf: Oh! The K guy. Well I obviously respect Dick's view and there are different views in the economy, but that being said when I -- and there is volatility clearly. Today, look at retail sales and if I feel differently, so you can feel differently on a day to day basis. But when I look at the businesses that we're in and as I am talking with customers which I am every day and talking with our business leaders and frankly looking at the numbers, 50 consecutive months of employment growth. Unemployment in the five, six range. GDP 5% and will probably have a few quarters this year that start with 3%. So I am optimistic. I don't think -- again I don't think this is a breakout, but I think we're on the front foot and consumer's confidence is at a all time high since the downturn. So the way I read the tea leaves, I'm optimistic.
John Shrewsberry: I think Dick also suggest that we could have gotten here sooner. We could be at higher levels…
John Stumpf: And actually I agree with that.
Nancy Bush: Okay. Thanks very much.
John Stumpf: Thank you.
Operator: Our final question will come from the line of Marty Mosby with Vining Sparks. Please go ahead.
Marty Mosby: Hello and well, glad to have wrap it up for you. If you look at the capital deployment ratios, if you look at your total payout this quarter of 72%, which is I think close to your stated target you talked about around 75%. So the increased capital deployment from here, are you going to need to see some earnings momentum or do you think you could push pass at 75% payout ratio?
John Shrewsberry: So our target is 55% to 75% and you saw that it bounced around during the course of the four quarters of 2014 for a few reasons. One of them is that we do more share issuance in connection with our benefit plans in the first half of the year and so it drives down the net payout ratio. The first call on our capital is to be available to support more loan growth on behalf of our customers. So the capital deployment horse is out in front of the net payout cart and that's important to remember because we're not hoping that we have enough to support the business growth after we think about distribution. We're making sure we have enough to support the business growth and then we're factoring in distribution behind that. So we anticipate continuing to operate in the range quarter by quarter, 55% to 75% and the fourth quarter was a high take on that in the 70s.
Marty Mosby: And that was really kind of looking back towards the E part of that, which is as earnings grow, that gives you more chance, what kind of catalyst do you see until -- while we're waiting on interest rates to create some incremental earnings momentum kind of reigniting that, that we've seen kind of slow down over the last couple of quarters?
John Stumpf: Sure, well its loan growth for sure. It's redeployment of excess liquidity into higher yielding earning assets. It will be what the impact is on expenses that we've been talking a lot a little bit, if we do as expected there. And then it's the various sources of fee revenue, which have which reflect quarter to quarter, up year-over-year, but there is a lot of momentum in places like card, places like investment banking, trust and investment fees overall. We just talked about the slightly more bullish case for mortgage this year. All of those are catalysts for growth.
Marty Mosby: Thanks.
John Stumpf: Yes. Thank you.
John Stumpf: Thank you. And thanks everybody who joined us today and again Happy New Year to everybody and thanks for your interest in Wells Fargo. See you next quarter.
Operator: Ladies and gentlemen, this does conclude today’s conference. Thank you all for joining. You may now disconnect.